Operator: Welcome to the Viad Corp Third Quarter Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now I would like to turn our meeting over to our host, Mr. Joe Diaz. Mr. Diaz, you may begin.
Joe Diaz: Thank you. Good morning, and thank all of you for participating in the Viad Corp Third Quarter 2014 Earnings Conference Call. I'd like to remind everyone that certain statements made during this call, which are not historical facts, may constitute forward-looking statements. Additional information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in Viad's annual and quarterly reports filed with the SEC. During today's call, we'll refer to the earnings press release, which is available on the Viad website at www.viad.com. Today, you'll hear from Paul Dykstra, Viad's Chairman, President and Chief Executive Officer; and Ellen Ingersoll, Viad's Chief Financial Officer. Additionally, Steve Moster, President of Viad's Marketing & Events Group, will be available for comments during the question-and-answer session at the end of the call. With that, I'd like to turn the call over to Paul Dykstra. Paul?
Paul B. Dykstra: Thanks, Joe, and thanks to all of you for joining us today. We greatly appreciate your continuing interest in Viad. Our financial results for the third quarter continued the momentum generated during the first half of the year, and we're at the high-end of prior guidance. Total revenue for the quarter increased 36.2% to $299.8 million from $220.2 million in the comparable quarter of 2013. Segment operating income of $33 million was up 76.3%. The strong growth was driven by positive show rotation, continued same-show growth, better-than-anticipated visitation to our Glacier's catalog and contributions from acquisitions. Both business groups posted substantially increased year-over-year results. Viad's Marketing & Events Group third quarter revenue increased 44.8% to $226.7 million from $156.5 million a year ago on the strength of positive show rotation, same-show growth and new business wins. Segment operating results increased by $10.3 million to $2.4 million. Marketing & Events U.S. segment revenue grew by 39.5% to $168.1 million, with segment operating income growing by $4.8 million versus the third quarter of last year. This growth was driven primarily by positive show rotation of approximately $34 million, a 3.4% increase in base same-show revenue and new business wins. The International segment of our Marketing & Events Group posted a third quarter revenue increase of 59.2% to $64.2 million with segment operating results increasing $5.5 million to $1.3 million. Excluding foreign exchange rate variances, revenue and operating income increased by $21.3 million and $5.4 million, respectively. This growth was primarily driven by positive show rotation of approximately $14 million in revenue and new business wins. We also benefited from the acquisition of Blitz Communications, which we closed on September 16. During the third quarter, we provided services on a number of major events, including the International Manufacturing Technology Show, the Farnborough International Air Show and Magic. The International Manufacturing Technology Show or IMTS is one of the largest industrial trade shows in the world and occurs every 2 years. This year's event covered nearly 1.3 million net square feet of exhibit space and hosted over 2,000 exhibiting companies. The Farnborough Airshow is another biannual event and one of the world's largest exhibitions and air displays. The show provides a wealth of dedicated and focused business platforms, and a total of 81 military delegations from 50 countries attended this year's event. Magic is the world's largest fashion marketplace attracting over 60,000 industry insiders. It takes place every February and August to showcase the latest trends in apparel, footwear and accessories for fashion retail buyers. I'm proud to say that GES has been successfully providing services on these marquee events for many years. We also produced the annual Mary Kay Seminar in Dallas and serviced the Commonwealth Games in Scotland, which were both new wins. We recently expanded our relationship with Tarsus, a global event organizer based in the U.K. Our great work on Tarsus' North American shows and label Expo in Europe laid the foundation for a new multi-year global agreement with Tarsus. It covers 11 events that take place in North America, the U.K., Europe and the UAE. Additionally, Merck Oncology selected us to produce 2 new exhibits to support its tradeshow marketing efforts. One debuted this September at the European Society for Medical Oncology's 2014 Congress in Madrid. The other will showcase Merck at the American Society of Clinical Oncology's annual meeting in 2015. Our scope of services, global reach and proven expertise in delivering successful events and exhibit programs were integral to securing these and other wins. On the whole, our sales team is delivering the organic revenue growth that we targeted for the year. And year-to-date, we've delivered an operating margin of 4%, which is up 110 basis points from the prior year. We are pleased with our results thus far, but we haven't consistently hit the mark on all of our stretch goals this year. This is a dynamic industry, and the nature of our business is somewhat unpredictable. We've experienced stronger-than-expected growth in U.S. event revenues ; however, a handful of large events had changes in the scope of work and challenges related to certain venues that hampered margins. Additionally, sales to corporate exhibitor clients and U.K. event revenues, while up from 2013, are falling short of our stretch goals and are coming in at lower margins, driven by the mix of business. As a result of these factors and acquisition integration costs, we now expect GES's full year operating margin to be in the range of 3.2% to 3.3%, which is short of the 4% target we set out at the beginning of the year. That said, it's still up considerably from 2.4% in 2013, which included a nonrecurring gain of $4.8 million from the sale of our New Jersey facility. We are focused on managing the factors we can control and continue to look for ways to drive efficiencies throughout the business, including enhancements to our labor management tools to help drive productivity gains. Looking ahead, we continue to expect to deliver an operating margin of 5% or better by 2016. Our recent acquisitions demonstrate the progress we are making, as we continue to execute against our strategic growth plan to position GES as the preferred global full-service provider to the live events market. This involves expanding our offering to include adjacent services that are valued by our customers, but differentiate GES from our competition and that will yield attractive returns for our shareholders. We have identified audiovisual and event housing as logical complementary services that can increase revenue and drive margin expansion for GES and, most importantly, better serve our clients. In late 2013, we formed an in-house U.S. AV team that has already produced a number of events and has a growing sales pipeline. The AV and event housing markets are large with attractive margins, and we are excited to accelerate our growth in these areas with the recent acquisitions of Blitz, onPeak and Travel Planners. Blitz is a leading AV staging and creative services provider for the live events industry in the United Kingdom and Continental Europe. Blitz has built a strong reputation in the market over the past 25 years by helping to stage exhibitions, product launches, awards dinners, conferences, annual meetings and roadshows for some of the world's leading organizations. Blitz provides AV services across the live event spectrum and is the in-house AV service provider at 5 major conference and exhibition centers in the United Kingdom. OnPeak and Travel Planners are leading event housing service providers based in the United States. With more than 60 years of combined experience, onPeak and Travel Planners provide best-in-class housing services to approximately 60% of the top 250 U.S. events. We have already begun the process of merging these 2 businesses, which are now operating as onPeak GES under the leadership of Michael Howell, the former President of onPeak. Since we haven't discussed housing services on prior calls, I'd like to briefly discuss the service we provide. When we are contracted by an event organizer to be the exclusive provider of housing services for an event, we research and recommend local hotels, secure room blocks, market these reserved blocks to event attendees and exhibitors, manage attendee and exhibitor reservations and address any housing concerns during the event. We are able to leverage our scale as a major room buyer and our industry-leading technologies offer convenient and affordable hotel accommodations to event attendees and exhibitors. For the event organizer, we manage the complexities of hotel booking administration before, during and after the event, and we provide valuable data to the organizer. For the hotels, we help drive RevPAR by acting as a direct sales channel to high-value professional guests. With the acquisitions of Blitz, onPeak and Travel Planners, we have immediately gained well-established and leading positions in the U.K. audiovisual market and the U.S. event housing market. This allows us to offer an increasingly comprehensive and convenient approach to service delivery for our customers by serving as a single point of contact for their event experiences. We believe that as we more fully develop the synergies of these businesses with our traditional contracting business, we will have a significant differentiator from our competitors in the market. We are very excited about the possibilities ahead and firmly believe these acquisitions will not only deliver strong financial returns, but also set us apart from the competition. I want to thank Steve Moster and the entire GES team for their hard work and dedication as they continue to forge ahead in expanding the business, while also maintaining a vigilant focus on efficiency gains and prudent cost management to better position the business for greater market share and stronger margins in the years to come. Our Travel & Recreation Group realized significant growth during its busiest quarter, driven by the addition of 2 properties to our Glacier Park portfolio, the new Glacier Skywalk and strong organic revenue growth at Brewster. Third quarter revenue was $73.1 million with group operating income of $30.6 million. Excluding foreign exchange rate variances, revenue increased by $11.6 million or 18.3%, and operating income increased by approximately $5 million or 18.9%. Our new Glacier Skywalk attraction continues to outperform with strong past year accounts in the third quarter. And the July 1 acquisition of the West Glacier Motel & Cabins, the Apgar Village Lodge and related assets, proved to be a strong strategic fit driving meaningful growth in this high-margin segment and further increasing our presence at Glacier National Park. The Glacier Skywalk continues to receive international recognition. It was most recently awarded first place as this year's Outstanding Design Build Project by the Canadian Design Build Institute at its annual conference. The Skywalk is performing well above expectations with a total guest count for the third quarter exceeding 200,000 and more than 280,000 on a year-to-date basis. The success and recognition of the Skywalk is driving new visitors to the area and having a very positive effect on passenger volumes at our Columbia Icefield Glacier Adventure tour, where we saw a 22% increase in year-to-date passenger count. The combination of the Skywalk and the Glacier Adventure tour makes for a very compelling day of unique activities for our guests. Passenger counts were up at all of Brewster's high-margin attractions. The Banff Lake Cruise is tracking to have its most successful year since we took over the operation in 2007, with the year-over-year increase in third quarter passenger count of nearly 28%. In order to address capacity constraints resulting from increased demand and maximize profitability, we will be adding an additional boat for the 2015 season. We continue to experience year-over-year growth in occupancy and RevPAR across several of our hotels, including the Banff International Hotel, the Glacier View Inn and Grouse Mountain Lodge. As expected, results at Alaska Denali Travel were below the prior year, partially due to early season closures caused by flooding at the Denali Backcountry Lodge. We expect stronger performance at Denali next year. I'm pleased to report that our newly-acquired West Glacier properties operated at high levels this quarter. These properties in the Glacier National Park area complement our existing assets by adding scale and additional location options that enhance our guests' enjoyment of this majestic area and reinforce our position as the gateway to Glacier. With this acquisition, we now own properties that book end the main entrances to the Park along Going-to-the-Sun Road with the West Glacier Motel & Cabins on the west side and St. Mary Lodge on the east side. I want to thank Dave McKenna, Cindy Ognjanov and their teams at Brewster, Glacier Park and Alaska Denali Travel for doing a great job providing memorable experiences for all of our guests, as we continue to expand those businesses. I appreciate their focus in continuing to drive strong operational and financial results. At this point, I'll turn the call over to Ellen Ingersoll, our Chief Financial Officer, for a more detailed review of our financial results. And then upon the completion of Ellen's comments, I'll provide some concluding remarks, and then we'll open up the call for your questions. Ellen?
Ellen M. Ingersoll: Thanks, Paul. As I cover our third quarter results, you may want to refer to Tables 1 and 2 in the business unit highlights section of our earnings press release. Our third quarter income before other items was $1.04 per share, which nearly doubled 2013 income before other items of $0.53 per share and was above the high end of our prior guidance range of $0.91 to $1.01. By definition, income before other items excludes restructuring charges of $0.01 per share and $0.50 per share related to favorable tax matters in the 2014 quarter. The favorable tax matter is related to the reversal of a valuation allowance recorded in connection with our analysis of deferred tax assets. During the quarter, it was determined that certain deferred tax assets associated with foreign tax credits for which a valuation allowance had previously been established, once again met the more-likely-than-not test prescribed by the accounting standards regarding the realization of those assets. As a result, we recorded a tax benefit of $10.1 million to income tax expense. Viad's revenue and segment operating income for the quarter were $299.8 million and $33 million, respectively. As Paul discussed earlier, these results exceeded the 2013 quarter and were driven by organic growth and acquisitions in both the Marketing & Events Group and the Travel & Recreation Group. Paul mentioned a few items that affected year-over-year results during the quarter, and I'd like to give you a little more color on those items. Share rotation at GES positively impacted third quarter revenues by about $48 million versus 2013. For the fourth quarter, we expect negative share rotation revenue of about $10 million. Foreign currency translation had a favorable impact on Marketing & Events Group revenue and operating income of approximately $2.6 million and $89,000, respectively, primarily due to the strengthening of the British pound relative to the U.S. dollar. Currency translation had an unfavorable impact on Travel & Recreation Group revenue and operating income of approximately $2.2 million and $1 million, respectively, due to the weakening of the Canadian dollar relative to the U.S. dollar. For the full year, we expect currency translation to have a favorable impact on the Marketing & Events Group revenue of about $6 million and an unfavorable impact on the Travel & Recreation Group revenue of about $5 million. The acquisitions of the West Glacier properties on July 1 and Blitz on September 16 added a combined $6.5 million in revenue and $2.2 million in operating income to our third quarter results. Glacier Skywalk attraction contributed approximately $3.9 million of revenue to the Travel & Recreation Group's third quarter results. And for the full year, we expect revenue from the Skywalk to be approximately $5.5 million with an operating margin of more than 60%. Excluding the Blitz acquisition, positive show rotation and the foreign-currency translation impact, Marketing & Events Group revenue increased 11.3% over the prior year quarter. Excluding the West Glacier acquisition, the Glacier Skywalk and the foreign currency translation impacts, Travel & Recreation Group revenue increased 5% over the prior year quarter. Now I'll cover our guidance for the fourth quarter and full year 2014, which can be found in the earnings press release and reflects our best estimates based on information available at this time. For the fourth quarter, we expect to have seasonal loss per share to be in the range of $0.30 to $0.20 per share, as compared to the 2013 fourth quarter loss before other items of $0.18 per share. Our recent acquisitions are expected to be a drag on the fourth quarter results, primarily due to the integration costs and higher interest expense as a result of debt financing. Marketing & Events Group fourth quarter revenue is expected to be in the range of $207 million to $220 million, up from prior year revenue of $191.8 million. And operating results are expected to be in the range of breakeven to income of $2 million, in line with prior year operating income of $1.3 million. The strong revenue growth relative -- and relatively flat operating results reflect the acquisitions of Blitz, onPeak and Travel Planners, which are expected to add approximately $20 million in revenue with an operating loss of about $1.6 million, primarily due to integration costs. Additionally, we're expecting negative share rotation of about $10 million in revenue. Travel & Recreation Group fourth quarter revenue is expected to be in the range of $8.5 million to $10.5 million with a seasonal operating loss in the range of $4.5 million to $2.5 million, which is in line with 2013 fourth quarter revenue of $10 million and operating loss of $3.2 million. We expect unfavorable currency translation of about $600,000 in revenue, as well as a seasonal operating loss from West Glacier properties, which are in operation from May through September. For the full year, Marketing & Events Group revenue is expected to increase at a low double-digit rate from 2013, primarily as a result of positive share rotation of approximately $60 million, same-show growth, new business wins and the acquisitions of Blitz, onPeak and Travel Planners. U.S.-based same-show revenues is expected to increase at a low- to mid-single-digit rate. Marketing & Events Group segment operating margins are expected to be in the range of 3.2% to 3.3%, up from 2.4% in 2013 driven primarily by our continued improvement in U.S. segment profitability, partially offset by acquisition integration costs that are expected to approximate $2 million. Travel & Recreation Group full year revenue is expected to increase at a low double-digit rate from $108.4 million in 2013. This growth reflects the West Glacier acquisition, the Glacier Skywalk attraction and continued organic growth, partially offset by unfavorable exchange rate assumptions. Travel & Recreation Group operating margins are expected to approximate 23%, up from 20.1% in 2013. Corporate activities expense is expected to approximate $10 million to $11 million, which includes approximately $2.5 million of acquisition and transaction-related costs that were incurred primarily during the third quarter. Now I'll cover some balance sheet and cash flow items before turning it back over to Paul. Our balance sheet remains strong. At September 30, 2014, cash and cash equivalents totaled $56.9 million. Our total debt was $24 million, which consisted of $22.5 million borrowings on our revolving credit facility, and $1.5 million of capital lease obligations. And our debt-to-capital ratio is 6.2%. Cash flow from operations was $53.7 million for the 2014 third quarter as compared to $35.1 million in the 2013 quarter, primarily reflecting improved operating results and changes in working capital. And our full year cash flow from operations is expected to be between $50 million and $55 million. Capital expenditures were $8.5 million for the 2014 third quarter, as compared to $11.2 million for the 2013 quarter. And we expect full year capital expenditures of approximately $31 million to $33 million. Depreciation and amortization expense was $7.9 million for the 2014 third quarter, as compared to $7.3 million in the 2013 quarter. And full year depreciation and amortization expense is expected to be between $30 million and $32 million. We acquired the West Glacier Motel & Cabins, Apgar Village Lodge and related assets for $17.4 million on July 1 and Blitz Communications on September 16 for $24.4 million. During the fourth quarter, we acquired onPeak and Travel Planners for $77 million. All of these transactions were financed with debt from our revolver. And back to you, Paul.
Paul B. Dykstra: Thanks, Ellen. We delivered strong operational and financial results during the first 9 months of 2014, and we have made great progress against our strategic growth plans for both business groups. At GES, we have added businesses in the audiovisual and event housing segments that will seamlessly fit with our traditional contracting business to enhance our customer value proposition and create new competitive advantages. In the Travel & Recreation business, we have acquired properties in the Glacier National Park area that position us as the gateway to Glacier with operations at both ends of the iconic Going-to-the-Sun Road. We believe these acquisitions will deliver strong returns of both incremental top and bottom line results in the coming years. We continue to have an active acquisition pipeline of farms that we believe could be a great strategic and economic fit for our businesses. Additionally, as we enter the off-season for our Travel & Recreation Group, we will commence planned remodeling work at the Banff International Hotel, and we expect to finalize plans for the possible redesign of the upper terminal of the Banff Gondola. Our strong balance sheet enables us to invest wisely in the business and to return capital to our shareholders through a consistent dividend each quarter. As is always the case, we remain dedicated to improving our business and driving shareholder value in everything that we do. With that, let's open up the call for questions. Stefanie, if you can open up the call, please?
Operator: [Operator Instructions] Our first question is coming from Mr. John Healy from Northcoast Research.
John M. Healy - Northcoast Research: Paul, I was hoping you could give us maybe some big picture thoughts about, as we look to 2015, I know there's been a lot added to the portfolio, both on the Travel & Rec and the tradeshow business this year. And you guys have been pretty clear that show rotation probably works against you next year. So I was wondering if you could give us maybe just some preliminary thoughts that help us shape our expectations for 2015 in terms of -- do you expect there to be maybe an up-profit year or a flat-profit year or down-profit year and maybe some help in terms of shaping our expectations?
Paul B. Dykstra: Sure, John. 2015 is a down rotation year. We don't have a couple of the major shows that we did this year. So we do start off in the hole from a rotation standpoint. It probably looks more similar to 2013. From a margin standpoint for GES, we expect margins to be better than 2013, and remember that with the 2013 numbers we had that $4.8 million onetime gain. So we're still working to our plan. We're doing everything possible to push those margins for 2015 as high as we can get them. For 2016, I think I mentioned that we are still focused on 5% margins or better for that year. We're working very, very hard on margins. We've made a lot of improvements over the last couple of years and that will continue to be a focus for us.
John M. Healy - Northcoast Research: Okay. And then I wanted to ask just, as you think about the GES business, adding the travel element to it, the bookings element to it, is that something that your competitors are already doing? And can you maybe talk to the customer base that is present with them as -- relative to the GES business today and maybe the potential for the cross-selling, customer penetration rate?
Paul B. Dykstra: Sure, John. Good question, Let me take a stab at that and then I'll also ask Steve to comment. The event housing is very much an adjacency to our existing service contracting business, and it's part of our strategy to transform GES to being the global full-service provider to the live events market. So it's very common set of clients. As I mentioned, 60% of the top 250 are now clients. A lot of those are GES. A lot of those are competitor clients. We are a first mover in this market. So our competitors are not -- from a service contracting standpoint, are not currently in the event housing business, but we think we've got a great opportunity with the acquisitions of Travel Planners and onPeak, which are definitely leaders in the business. They have great management teams, great technology and great opportunities now to cross-sell to our existing clients. Certainly, there's some integration opportunities that we have from a cost standpoint, but we really like the opportunity to kind of add support to the core business, but also provide a great new growth opportunity. Steve, is there anything you'd add to that?
Steven W. Moster: Yes. John, from my perspective, I mean, both Travel Planners and onPeak were leaders in the industries that they're in. And they also are obviously accretive to the GES business in terms of margin. The cross-selling opportunity is what excites me the most. The buyer for these event housing services is the same buyer that we deal with on our core business. And so there's a lot of potential for cross-selling that we're going after right now.
Operator: Our next question is coming from Ms. Luisa Lau from Singular Research.
Luisa Lau - Singular Research: As a follow-up in the event housing business, it sounds like it could pretty much be a straight margin business -- please let me know if that's not the case. And then secondly, with respect to the audiovisual presence, could you just sort of give us an update in terms of where you stand in terms of your current expertise level and positioning in this area. And then do you expect significant investment going forward to really increase your presence there? And then could this also be a slight change in strategic direction given that so much is going in the audiovisual direction?
Paul B. Dykstra: Again, I'll make some comments and I'll ask Steve and hopefully I captured your 2 questions. So first of all, I think you asked about margins on event housing. And if I understand the question correctly, from a margin standpoint, this is accretive to GES's core business margins on the service contracting side. So we like it from that standpoint, as Steve mentioned, but we also see great opportunities to grow the business through cross-selling and leveraging our technology and making it part of our overall suite to our existing clients. So from both of those perspectives, we're very, very excited about this business and we did get great management teams and technology, as I mentioned earlier. From an AV standpoint, the acquisition of Blitz -- again, Blitz was a leader in the U.K. AV market. So these are great -- another great company with a great management team, and we definitely see a trend towards AV and it's something that crosses all of our different customer segments from corporate events to exhibitors to traditional tradeshows and things like that. So we see a great fit. Culturally, they're a great fit for our EMEA team over in the U.K. and we see great opportunities there. In the U.S., we did an AV green start about 10 months ago and we've gotten a good start from that, and we see continued growth there and possible acquisitions to support that growth in that business as well. I think as far as the strategy shift, I don't think it's changed probably since what we talked about the last couple of quarters coming out of the strategic review. It's again something that we see as a very complementary and adjacent to our existing client base, accretive margins and something that's very important to our clients and gives us opportunities to get into some potential new segments. So Steve, maybe if I missed something. If you could add to that, please?
Steven W. Moster: Yes. Just to me, both the event housing and the audiovisual do support our goal of being the preferred global full-service provider to the live events. On the AV business specifically, as Paul mentioned, we started it in the U.S. at the beginning of the year. We've built a strong management team with a strong pipeline going into 2015 and '16. And with the acquisition of Blitz Communication in the U.K., which was a leader in the industry, it really creates a lot of opportunities for us, both in the U.S. and EMEA to cross-sell to our existing clients, like we talked about on the event housing side. So I think the actions that we're doing around event housing and audiovisual do support the strategy that we're going after. And I think there's large opportunities for us to cross-sell and to sell more services into our existing customer base.
Luisa Lau - Singular Research: Okay. Great. Now with respect to the impairment charges in the M&E business for the software, this was your second charge, I believe, with respect to this. Is it basically due to some outdated software? Or is it something else? And do you expect these charges to continue?
Ellen M. Ingersoll: Luisa, that was last quarter. So we did not have any additional charges this quarter. That shows up in the 9-month year-to-date number.
Operator: Our next question comes from Mr. Steve Altebrando from Sidoti & Company.
Stephen Altebrando - Sidoti & Company, Inc.: Does onPeak and Travel Planners have any presence in the U.K.? And if not, is there an opportunity there?
Paul B. Dykstra: OnPeak and Travel Planners have very little presence overseas, but our main focus will be on the U.S. market. But that is certainly something that could be potential down the road, Steve.
Stephen Altebrando - Sidoti & Company, Inc.: Okay. And then do you see any cost synergies with those -- with that deal? Or are these just kind of adjacent businesses?
Paul B. Dykstra: We certainly see great cross-selling opportunities, as Steve Moster was mentioning earlier. We do see some cost synergy potential leveraging office space, some of our back-office things that we do and some of the sales times. So certainly there's sales cost synergies in go-to-market strategy. Other than that, they are fairly separate, but again, utilize a very common customer base.
Stephen Altebrando - Sidoti & Company, Inc.: Okay. And then, could you talk a little bit about your appetite for more deals? Obviously, leverage remains quite low, but you also have done several deals. So I don't know if integration becomes an issue for further deals. So just generally what's your appetite going forward?
Paul B. Dykstra: Steve, we have a pretty strong acquisition pipeline and we do see more room from a leverage standpoint. So that's correct. We think we have good opportunities on both sides of the business. Again, with the criteria of being "They've got to be a good cultural fit for our organization and a strong economic fit." So we've got to get these things at the right prices. But we do see some very good opportunities.
Stephen Altebrando - Sidoti & Company, Inc.: Okay, and then just lastly, I know you touched on this earlier. With the acquisitions hitting, which I would suspect would be pretty accretive on the margin side, if there is an opportunity to maybe hold the line on operating margins and marketing events in 2015? Or is that a little bit too optimistic? For the site, for Marketing & Events segment.
Paul B. Dykstra: Yes, in 2015, the lion's share of the business, even with these acquisitions that will be less than 10% of our overall revenue, and we do expect those to be accretive. But with the down rotation year in 2015, margins won't be as good as they are this year. We do expect them to be better than in 2013. Again, when we had the -- which also included the onetime gain. So we're continuing to make progress there, and we will continue to focus on that going forward.
Operator: And this concludes all questions coming from the phone lines at this time.
Paul B. Dykstra: Okay. Again, I want to thank everybody for being on today's call. We appreciate your continued interest in Viad. We will do everything possible to continue to drive shareholder value. We look forward to talking to you again at the end of the year, and happy Halloween. Take care.
Operator: And this concludes today's conference. You may disconnect all audio lines at this time. Again, this does conclude today's conference. You may disconnect all audio lines at this time. Thank you.